Operator: Good day, ladies and gentlemen, and welcome to the DHT Holdings Q3 2013 Earnings Conference Call. Today's conference is being recorded. At this time, I would like to turn the conference over to Mr. Eirik Uboe, CFO. Please go ahead, sir.
Eirik Uboe: Good morning. I'm also joined here by Svein Moxnes Harfjeld, our CEO; and Trygve Munthe, our President. Before we get started, I would like to make the following remarks: This conference call is also being broadcast on our website at dhtankers.com, and a replay of this conference call will be available on the website. In addition, our Form 6-K evidencing this news release will be filed with the SEC. As a reminder, this conference call contains forward-looking statements that are governed by the Safe Harbor provisions of the Private Securities Litigation Reform Act of 1995. These forward-looking statements, which include statements regarding DHT’s prospects, the outlook for tanker markets in general, expectations regarding daily charter hire rates and vessel expectation, forecasts of worldwide economic activity, oil prices and oil trading patterns, expectations regarding seasonal fluctuations in tanker demand, anticipated levels of new building and scrapping and projected dry dock schedules involve risks and uncertainties that are more fully described in our filings made with the SEC. Actual results may differ materially from the expectations reflected in these forward-looking statements. With that, I will turn the call over to Svein Moxnes Harfjeld.
Svein Moxnes Harfjeld: Thank you, Eirik. Welcome, all. I'll take you through the highlights of the quarter. EBITDA for the quarter came in at $3.2 million, with a net loss for the quarter of $4.4 million, equal to $0.26 per share. At quarter end, our cash balance was $50 million, equal to $3.22 per share, an increase of $6.9 million from the prior quarter. This increase consists of cash generated from operations and changes in working capital. We will pay a dividend of $0.02 per common share for the quarter payable on November 21 to shareholders of record as of November 13. When determining the dividend, our Board has taken into account general business conditions and the continued weak tanker markets. During the quarter, we concluded period business for the following vessels: new time charters for our 2 Suezmaxes, DHT Target and DHT Trader; and for our Aframax, DHT Sophie. We further extended the time charter for our VLCC DHT Chris. As of quarter end, 6 of our 8 vessels are on time charters for periods between 6 and 12 months, of which 5 of the charters are at fixed rates above our cash breakeven levels, i.e. operating expenses, debt service and G&A, and 1 vessel at a variable rate related to market development. As of September 30, we had about 15.6 million shares of common stock outstanding. All preferred stock outstanding on June 30 were mandatorily exchanged into common shares on July 1. We then open up for Q&A.
Operator: [Operator Instructions] We will take our first question from Jon Chappell of Evercore Partners.
Jonathan B. Chappell - Evercore Partners Inc., Research Division: Just on the new period business that you announced in this release. Can you give the terms, both exact duration, but more importantly, the fixed rates associated with these assets? Because they obviously had a much greater impact in a positive manner in the third quarter than we had expected.
Svein Moxnes Harfjeld: I think in general, the charters and the details, we're not deliberating among the details, so I think as you concluded yourself, these charters are positively impacting the quarter and giving a steady daily income for the ships, and, of course, also the clients are taking charge of the working capital aspect of these charters. So we're not really guiding in more detail explicitly on these and the optional periods and extension opportunities and so forth.
Jonathan B. Chappell - Evercore Partners Inc., Research Division: Is there a reason why? I mean, when you had the previous charters with the vessels, there was full disclosure. It's obviously a positive for the company, but to not have any visibility around that makes it a bit -- far more difficult to actually model quarter-to-quarter results.
Svein Moxnes Harfjeld: I think over the past 3 years, the company has not given specific guidelines on each charter as opposed to the legacy charters that we always see in the company earlier on. But I think we can guide that the Suezmaxes are around the $13,000 level, and the Aframax charter is slightly above that. The extension of the VLCC has changed from a market-related charter at the tail end of the existing charter into a fixed-rate charter, and that is in the mid high teens.
Jonathan B. Chappell - Evercore Partners Inc., Research Division: All right. That's better. What's the next step? You've obviously shown some improvement. The balance sheet is far superior to what it was 12 to 18 months ago. The losses seem to be shrinking a little bit. Seems like asset prices aren't going to get much lower. So when do you think you actually act on modernization of fleet at this point of the cycle? And how do you kind of envision the use of your current capital structure for that?
Svein Moxnes Harfjeld: I think as you recognize, we now took the company in what we think is a very comfortable position and with a great runway going forward with the industry low cash breakeven levels. We think that the asset prices are -- as we move into a territory and those also are closer to the future turnaround of the market. As such, we have perceived the coming 12 to 18 months as a very interesting window to embark on potential expansion of the company. So we are closely monitoring the situation. We are inspecting more than [indiscernible] vessels, also spent a great deal of time in better understanding of what these so-called eco-design would mean for large tankers. So we are closely monitoring these to see how we can in a value-creative way for our shareholders embark on a growth path. So it's difficult for us to give you a specific date or month when this potentially could happen, but the ambition of management is certainly there to really build this into a sizeable company.
Operator: We'll now move to Mike Nolan of JPMorgan.
Michael Nolan: Could you just give us a sense as to what you see when you look out 6, 12, 24 months, just a sense of the future and your feeling as to how the global economy is going to impact your company?
Trygve Preben Munthe: I think in the freight markets, we are a bit concerned that we're still suffering with a fleet that is actually a bit too large for the demand that we see. But as we all have experienced over the years that asset prices may move a bit sooner than the freight market. And in the sort of the somewhat longer perspective, in the medium term, we are optimistic that demand is going to continue to grow. And as we have said a few times, we expect flattish to negative fleet growth for large tankers in 2015. So we think it all sets up for a good recovery for large tankers.
Svein Moxnes Harfjeld: I think related to that, it's fair to add that in the next kind of 12 to 18 months, 24 months, we would likely see kind of flattish, sideway-ish freight market. But I think worth noting is that we've seen twice now since the summer with fairly tight intervals spikes in the freight markets and really driven by small changes in scheduling, positions of ships and cargo stems. And for us, this indicates that the underlying balance has somewhat improved, and it doesn't take much to move the market into a more positive territory. And we would expect that to kind of continue to happen at certain intervals going forward, but as Trygve alluded to, we don't really expect, say, a change in the supply side, i.e. negative fleet growth to occur until '15.
Operator: We'll now moved to Sandy Goldman of Front Barnett.
Isaac S. Goldman - Front Barnett Associates LLC: If you decide to construct new vessels, is the capacity in the shipyards going to be available to you?
Svein Moxnes Harfjeld: Yes.
Isaac S. Goldman - Front Barnett Associates LLC: For how long? I mean, obviously the demand's built up for shipyard capacity. I mean, how many months or half years do you expect to get the availability? And then, when would the delivery time come?
Svein Moxnes Harfjeld: I think it's fair to say that there is competition, so to speak, at the leading shipyards for all the types of large vessels, such as large container ships, energy carriers and also large cargo carriers, as well as for some of the yards, also offshore equipment such as drilling rigs and FPSOs. But we've been following this very closely and think that we have the finger on the pulse on what's going on. And of course, capacity, say, for delivery in '16 will not last forever, but we think as we speak and then kind of relative in the near future, that will certainly be available to DHT.
Isaac S. Goldman - Front Barnett Associates LLC: So in a sense, you have to make a decision in the relatively near future about whether you're going to go newbuild or not?
Svein Moxnes Harfjeld: I think if the company will make a decision, it will certainly notify the market in a very transparent and open way.
Isaac S. Goldman - Front Barnett Associates LLC: Oh, no, no. That I know.
Trygve Preben Munthe: Just 1 comment to your question, Sandy. I think we shouldn't forget that the fact that the yard's capacity is in high demand from other sectors of the shipping industry bodes quite well for the crude space because we have a very low order book as it is, and as you asked, there isn't really much capacity for years inside of 2016, and even '16 slot seems to be tight for large tankers. So again, this bodes quite well from a supply side perspective.
Operator: [Operator Instructions] We have no further questions from the telephone audience at this point.
Svein Moxnes Harfjeld: Thank you very much for attending the third quarter earnings call for our company. And thank you for your continued interest in our business. Have a good day.